Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to Repsol’s Third Quarter 2012 Preliminary Results. This conference call will be led by Mr. Miguel Martinez, CFO of the Company. A brief introduction will be conducted by Ms. Maria Victoria Zingoni, Corporate Director of Investor Relations. Ms. Victoria, please go ahead. Thank you.
Maria Victoria Zingoni: Good day, ladies and gentlemen. This is Maria Victoria Zingoni, Director of Investor Relations at Repsol. On behalf of our company, let me thank you for taking the time today to attend this conference call on Repsol’s third quarter results. The presentation as mentioned is going to be conducted by Mr. Miguel Martinez, CFO; other members of the Executive Committee are joining us as well today. Before we start, please I invite you to read our disclaimer note. We may make forward-looking statements, which are identified by the use of words such as, will, expect, and similar phrases. Recent results may differ materially depending on a number of factors as indicated on the slide. Before I hand the conference over to Miguel. Let me highlight that this is our first conference call in our new building, even though we have made several noise trials, if you have any problem with hearing this conference call please let us know immediately either calling BIR department or dropping an e-mail. I now hand the conference over to Miguel.
Miguel Martinez: Thanks, Marie, and thank you all for attending this conference to discuss our third quarter results. The order of our presentation today will be, first, highlights on the operational activity, second, an update on the financial situations and the steps we’re taking to strengthen the balance sheet and third the results of the quarter. Let us start with the operational performance. Production in the upstream division during the quarter was 339,000 barrels of oil equivalent per day, 20% higher than during the third quarter of 2011. The end of the conflict in Libya, and the startup of Phase I of the Margarita project are the main drivers behind the production increase. Libya, is back at 44,000 barrels per day, and Margarita (at) almost 9000 barrels of oil equivalent per day. The market demand has allowed us to test the plant’s operational capacity, delivering during Sundays a peak gross of volume of $10 million cubic meters per day of natural gas. We also started production in Russia and U.S Mid-Continent this quarter, having around 4,400 barrels of oil equivalent per day from these two assets. Production volume was reduced mainly in October with a sale of 20% of block system. For 2012, we expect to reach slightly above the committed 330,000 barrels of oil equivalent per day. Average production even with lower than expected production from the (VPTT) asset, the Lubina project in the Spain come under stream on October 15. And by the end of the year we will have the Kinteroni project in Peru producing. Kinteroni is expected to start as planned in fourth quarter 2012, most likely in early December to be in line with the scheduled turnaround the Peru LNG plant. The construction activity to span the (Marinas) processing plant, and the government approval to increase capacity of the (Camisia) gas pipeline will be supportive to our Kinteroni production and future developments in the area. By the end of 2012, we will have five of the ten strategic development projects in production. Margarita, which is already a (platform) while Mid-continent Russia, Lubina and Montanazo from Kinteroni will continue to ramp-up. If we take into account (inaudible) our first Brazilian producing filed will have first oil in the first quarter of 2013. By first half next year we’ll have six out of the ten strategic projects producing. Regarding second half, in order strategic plan presented last May, a slower ramp up than originally expected was already included and we do not expect major changes to this volume figures. On top of the six mentioned projects that will be on a stream at the first quarter of next year. There are two more projects in Venezuela that will start production in 2014. The remaining two are the projects, Regan and Karioka to complete with them included in our plan do not add material production during this strategic flat period, despite the included topics. This allows us to ensure that delivery of the production growth established for the period 2012-2016 will be accomplished. Moreover, our average 2013 production would be around 10% higher than the 2012 volumes. With regards to another growth projects included in our strategic plan are going forward in Venezuela on August 15th, we officially declare commerciality. The development plan was approved on August 20th and it will have three phases, just starting the 300 million standard cubic feet per day production by early 2014. Let me now follow with this quarterly activity in the quarter. The Sagari well in block 57 in Peru was successful. The estimated resources are above one this year. In October, we’re start drilling Mapi, the following prospect in the block. We have had five discoveries in the year, on top of the above mentioned Sagari, we have Pao de Azucar in Campos Basin block in Brazil, TIHS1 in Algeria and Chipiron, T2 and Caño Rondon Este is still in Colombia. With these discoveries, we have to cross the 300 million barrels of oil equivalent yearly contingent resources target, established as our exploration objective in the strategic plan. We have achieved the objective despite falling short in finished wells estimated at 20 mostly due to operational setback in Alaska and delays in Libya where several wells were initially forecasted. In order to diminish the rig availability of risk, we have contracted two deepwater rigs, from Ocean rig and Rowan. The first one will be exclusively devoted to appraisal of Campos 33 discoveries. The second one will be used mainly in exploratory campaigns in Gulf of Mexico, Angola, Namibia and the Canary Island. In addition to Mapi, currently drilling two wells: Sagitario in Block Santos-50 in Brazil and TESO-1 in Algeria. We have also finished with good results in operational well, Carioca Norte in Santos 9. During 2013, we expect to drill between 30 and 35 exploratory wells, depending on rig availability. And investigate about 6 billion barrels in gross terms. 70% of the investment will target oil and drilling will take around 65% of the total budget. The investment will be mainly concentrated in the U.S., Brazil, Norway, Canada and Peru. We are fulfilling acreage replacement goals with 23 new blocks already ratified in 2012 and nine in process towards official award. On the refining side of the business, we had a very good quarter with an average utilization rate of 81% of total capacity. Moreover, during August and September, the Cartagena cracker and hydrocracker have been working at full capacity. The high levels of utilizations are due to the better margins, the end of high-maintenance systems and the previous quarter and the performance of the new units. The October utilization rate has been around 86%. Let me now move into the financial situation. Starting with our liquidity position at the end of the quarter, we had over €3.9 billion of cash ex gas nat, €1.3 billion higher than at the end of the previous quarter. The level of committed undrawn credit bank lines was €4.5 billion totaling €8.4 billion of liquidity. In September, we issued a €750 million five years and five months bond with a coupon of 4.375% equivalent to plus 335 basis points. This transaction shows that we are getting financing at reasonable rates. Several Spanish companies issued bonds around the same week and Repsol got the best cost of finance after then. The net debt, excluding gas nat at the end of the quarter was €4.9 billion, a €1.8 billion reduction compared to the level at the end of 2011. We would like to highlight that the cumulative EBITDA excluding gas nat generated during 2012 has almost covered our investments, taxes, net dividend payments and interest and leasing expenses. Regarding the actions we are carrying out to reduced debt and improve the financial ratios and cash position of the company. First, we will continue with this scrip dividend program with interim dividend of 2012. We have an acceptance rate of almost 64% in the flexible dividend program for the 2011 complementary dividend paid in July this year. Second, we have closed the sale of the LPG division in Chile and the sale of our 20% working interest in Block 16 in Ecuador during the quarter. Both transactions amounted to €551 million more than 20% of the asset disposal program included in the five year strategic plan and generated a net debt reduction of €361 million. Third, we continue with the process to dispose of our LNG division. Due to the confidentiality agreement we have signed with the participant companies, we will make no further comments or answer any questions about the process until a decision on the sale is made by the year end. Let me share with you the process is rewarding according to our expectations. With regards to the preferred shares conversion, our first option is to avoid shareholders dilution as mentioned in prior opportunities. If our LNG disposal process is successful, we could still expect a conversion, but into a non-dilutive instrument with the aim of giving liquidity to current tenants of the preferred shares. In conclusion, we are working on the preferred shares conversion instruments, which will depend on the LNG sales success. Moving into the quarterly results, third quarter CCS adjusted net income was €496 million and CCS adjusted operating income was €1.2 million. These results were 89% and 64% higher respectively than during the same period last year. The better results have been driven by an improved performance in all of our divisions. In the Upstream division, the adjusted operating income was €634 million, almost doubling the result we obtained during the same period last year. As mentioned in the operational chapter, in addition to Libya production performance getting back to normal and the continuous improvement in the Margarita project ramp-up volumes, which started production from the Russian and the Mississippian Lime operations. Despite lower grant prices in the period compared to 2011 there are higher realization prices in the quarter due to the impact of Libya in the sales mix and the increase in the West Texas. Operating income was partially offset by exploration expenses, which were €114 million higher than during the same period of 2011. Higher depreciation charges due to the production increase also negatively affected the results. In the LNG division, the adjusted operating income was €189 million, 75% better than during the same period last year. The increase was due to higher commercialization margins. In the Downstream business, the CCS adjusted operating income was €307 million, 47% higher than the third quarter of 2011. The good performance comes mainly from the refining business where the gasoline (inaudible) differentials as well are the lowest quality of the new (inaudible) and public deals due to a (inaudible) units have delivered an average margin of $6.4 per barrel during the quarter. The premium on the margin from the new units developed probably during this quarter, with a $1.6 per barrel average going from $1.2 in July, up to $2.2 per barrel in October. This increase in the margin premium of our refining system highlights that when the market is running smoothly we are able to capture a higher premium. The good performance of the refining business has been partially offset by the weaker petrochemical environment. The increasing NAFTA prices affected by unfavorable exchange rate along with the decrease in demand and margins in some of the products were main reasons behind the weak performance. The LPG results and higher volumes in the wholesale marketing of petroleum products partially offset the decrease in margins and the 12% decrease in volumes in the retail marketing division, delivering an overall stable result. In relation to Gas Natural, the adjusted operating income of 231 million euro was 16% higher than during the same period last year. The increase is due to improved results in the Latin America operations and better margins from natural gas sales. Financial expenses Ex Gas Nat during the quarter were 156 million euro, 72 million euro lower than during the same period last year. The increase in interest expenses due to the step up in the interest of the preference shares and the increase on the gross debt due to the bonds issued in December 2011 and January 2012 was partially offset by the results of the hedging positions. As a recap, this quarter results are a proof of the operational solidity that is gaining momentum in the company. The Upstream division this is starting to show in its result the contribution of the new projects. The Refining division has enjoyed a good market environment, which combined with the premium of the new units has delivered a good improvement. While the Petrochemical division suffering some headwinds. We expect the Upstream division to continue increasing results as new projects start and the Downstream division to generate cash flow and deliver fair results. Let me finish turning now to YPF. As explained in our previous quarterly presentation, we have initiated different legal actions as a consequence of the expropriation of YPF. We have always been open to a negotiating solution to the issues facing the Argentine energy sector. We have enforced to take all appropriate legal actions in defense of our shareholders’ rights as an expropriated party. Even against those, who may attempt to take unfair advantage of an unlawful confiscation. As a current shareholder of YPF, we are also requiring full transparency professionalism and rigor in the management of our private company listed in the New York Stock Exchange and in the Buenos Aires market. Thank you. Now I will be pleased to answer any questions you may wish to put forward.
Operator: Good morning ladies and gentlemen, the Q&A session starts now. (Operator Instructions) Thank you. We will have first question from Haythem Rashed from Morgan Stanley. Haythem, please go ahead with your question.
Haythem Rashed – Morgan Stanley: Three quick questions, if I may. Firstly on the CapEx run rates for the year, it appears relatively sort of light. I know you've talked in the past 4Q being a relatively sort of heavy quarter on the CapEx side. I wonder if there’s sort of no change still to your full year outlook for CapEx for the group, and also what would be the main sort of driver into 4Q for this sort of higher CapEx level. Second question I had was just relating to the Downstream, and you sort of highlight that utilization rates into October still remaining relatively high, and also the margin looking still reasonably healthy there. But how comfortable are you for the rest of the year? And, as we move into 2013, you've talked before, Miguel, about downstream condition is still remaining tough. I am sort of specifically referring to the refining side of for that. And then finally just any updates on the timing of the drilling on BMC 33 with the Milos Ocean in terms of when you plan to do that next year? Thank you.
Unidentified Company Representative: Hi, Haythem. Thanks for your questions. In relation with the CapEx one, we expect to end up the year between €3.2 billion and €3.3 billion. Our initial estimate, if you remember, was €3.5 billion and the downfall has been basically in the Downstream division. The tails from the Cartagena and Bilbao operations were smaller than we thought. So we have some CapEx sales there and also in the estimate, in the budget for the year, we have €60 million for projects in the new energies which has not been covered, so basically I would say CapEx would be totally in line with this estimates in the Upstream division and a shortfall would be between €200 million, €250 million in the Downstream division. My estimate for the year in refining margins, I mean to predict is always difficult, especially the future, but we have seen a lot of the strength during October, and somehow a smaller margin in the last week. My estimates which would be between approximately $5 or $6 per barrel and finally in relation with Campus 33. Our estimate is that we will start appraising at the end of next year as mentioned in the speech one of the rigs will be devoted to Campus 33. Did I answer you?
Haythem Rashed – Morgan Stanley: Yeah, that’s great, thank you.
Unidentified Company Representative: You’re welcome.
Operator: Thank you. I think we have a next question from Santander, Jason Kenney, Jason? Good morning and please go ahead with your questions. Jason are you there? We’ll move for the next one, it’s from Nomura, Theepan Jothilingam. Theepan please go ahead with your question.
Theepan Jothilingam – Nomura International: Thanks [Marty] and good afternoon Miguel, just two quick questions. Could you just talk a little bit about the progress in making post the SandRidge acquisition with Mississippi Lime, and just an outlook on production there? And then, secondly, just coming back to the treasury shares. Just wanted to get an idea of whether you are still considering any other options outside just using them for the scrip dividend? Thank you.
Miguel Martínez: Starting with the second one, I mean for sure it’s only my opinion, so at the end the final decision will be on the Board. But, in my perception, the treasury shares will go into the scrip dividend. So basically we will increase capital, and reduce, at the same time, the treasury stock. This is our initial idea, and the one we will present to the Board meeting. We do not discard, though, that, depending on the LNG final results also, part of the treasury stock will go into the conversion of the preference shares. But one thing is clear. Those shares will not go to the market. Either one way or the other, we will allocate those in any of the formulas; the scrip or the conversion. And the first question refers to the Mississippi Lime and well, we cannot advance much at this moment. I mean we are simply producing approximately 1,500 barrels, so we’re just starting and right now we have 22 rigs that will be ramping up till 2018, I think, in which we’ll be working with more than 90 rigs. Other comments is that basically we expect a very important ramp up of this asset and will impact really their production, but not this year not next year. Basically, we keep attached to the plan, but it’s way too early because I mean it’s only five months since we presented the strategic plan. So I don’t know what else can I comment you, simply that all in next year would be around 6,000 barrels of oil per day and that will keep working.
Theepan Jothilingam – Nomura International: Could I ask Miguel, what type of capital investment do you think we should think about sort of the next year for that project and then going forward.
Miguel Martinez: $700 million for 2013.
Theepan Jothilingam – Nomura International: Thanks very much.
Operator: Thank you, Theepan. We have now from BPI, Bruno Silva. Bruno please go ahead with your question.
Bruno Silva – BPI: Good morning everyone. And going back to downstream and can you please reiterate or make an update on the expected EBIT adjusted for the unit for this year? And if you have any view for next year would appreciate particularly after these impressive results from the retail area, considering the context. And secondly on LNG also would appreciate a guidance on operating income for this year and next. Once again and looking at consensus it looks like it was one of the major areas of positive deviations of your performance in this quarter? And that’s it. Thank you very much.
Miguel Martinez: In relation with your first question, I think that the guidance I gave, I don’t know if it was in March or in July, was between €1 billion and €1.1 billion. I think that were going, I mean it is going to depend for sure in this quarter, but probably we will fall a little short between €900 million and €950 million EBIT for the Downstream division. And sorry about the second one, because we do not split in the LNG. Sorry about that.
Bruno Silva – BPI: Okay, thank you.
Operator: Thank you, Bruno. We have next question from Banco Espirito Santo from Filipe Rosa.
Filipe Rosa – Banco Espirito Santo de Investimento SA: Hi, good morning everyone. Two questions, the first on your guidance for production for 2013. Could you just give us a little bit more color on how much barrels are you considering from Brazil, Russia and Mississippi. I know that you already addressed Mississippi, but I’d like to have an idea what could be the contribution in 2013 in terms of production? And the second question is regarding the resources that you are de-risking next year. You are guiding for €6 billion growth in terms of exploration resources. Could you give us some color on the net amount that you are going to de-risk next year? Thank you very much.
Miguel Martinez: I mean in relation with your first question, we normally do not split between regions or between counties. I mean basically the growth will come from the new projects, I think that will have the ramp-up of Kinteroni where that would be (inaudible) either we’ll have also a helping not with much volume, but with a lot of margin in Lubina and Montanazo and also we’ll have for the full-year Margarita. So there you have basically the growth areas but we do not speak, I mean field-by-field or country-by-country, okay. And the second question.
Unidentified Company Representative: And what will regards the expiration?
Unidentified Company Representative: Yeah, we keep attached to what we mentioned in the (inaudible) plan presentation. I mean, we are aiming as this year between 300 million and 350 million barrels of resource – contingent resources. So we get attached to what we said in May. Basically, we are keeping the budgets and probably the only difference with the past if you look at it is that most of the CapEx would be in the U.S., Brazil, Canada and Norway, so moving in to more OECD countries. Okay. But we keep with the same approach we presented with the rest of the presentation.
Unidentified Company Representative: Filipe, one month ago we put a presentation its in our web page with regards to the growth contingent resources, prospective resources that we are going to be investigated and will be holding again in January next year, our expiration day and we will need more information with regards to the expiratory plan for the year.
Filipe Rosa – Banco Espirito Santo de Investimento SA: Okay, thank you.
Operator: Thank you. We have next question from Barclays Lydia Rainforth.
Lydia Rainforth – Barclays Capital: Thanks and good afternoon. Two questions if I could. The first one, just on the preference shares, Miguel. When you’re looking at this non dilutive instruments. Can you just talk to us a little bit more about what those options are and I (do) want time period you’d expect to get any conversions done. And then secondly, I appreciate when you said about not giving individual country guidance that for Trinidad can I just ask have you included the similar level of production for this year or have you gotten that recovering into 2013 numbers? Thank you.
Unidentified Company Representative: In relation with the preference shares, I mean, a solution which is at least the one I like most is to simply put a bond for ten years. In that sense we will not convert any part of this preference shares into new capital and be non-dilutive and it’s the option I would prefer and our estimate for 2013 in Trinidad and Tobago. I mean you know it’s an asset we do not operate, but our estimate is flat in comparison with 2012.
Operator: Perfect. Thank you very much.
Unidentified Company Representative: 
.:
Operator: Thank you Lydia. We have next question from (inaudible). Please go ahead with your questions.
Unidentified Analyst: Good afternoon Miguel. Just a couple of questions please. So, first of all six months on from the confiscation of (IBS) can you perhaps update us on your discussions with a credit agency and the current thinking regarding your financial position? And then secondly you had formed a strategical operation agreement I believe was with Pemex and I was just wondering if there is anything to report on that, has anything come out of that of that agreement which you can talk about. Thank you.
Unidentified Company Representative: Okay. Thanks for the questions (Ivin). In relations with the first one I mean once YPF was confiscated, we met with the rating agencies and we present them all the measures we were going to take. And I think that we’ve been delivering one after the other and with better results than our initial estimates. We expect that once we sign the offer of the LNG to sit with them and this will probably will happen in January next year, okay. And in relation with Pemex, I would say that basically it’s simply to recover the relation we had before August 2011. If you remember, in August 2011 there was, I would say some confusion and we are simply turning back to the initial point and share with them those areas in which we have a win-win situation for both and using our refining system, taking the – may include into our system, I mean I would say back to basics, okay.
Unidentified Analyst: Thank you, very much.
Operator: Thank you, Irene we have now Oswald Clint, from Sanford Bernstein. Oswald, good morning. Please go ahead with your questions.
Oswald Clint – Sanford C. Bernstein & Co: Thank you, very much. Yes, first question was just if I could get a bit more detail on the refining margin uplift sequentially. I just wonder if you can say what was the uplift there just from the general margin environment and then what was the uplift from the refinery upgrade or if it is possible to split that out, please. And the second question was on Russia and your Alliance or your JV with Alliance Oil. There has been a lot of favorable tax incentives over the summer in Russia for tight oil exploration. Is that something you’re discussing with Alliance, or something you would like to investigate within Russia? Thank you.
Miguel Martinez: I think that more or less I gave you the splits during the speech, I mean in July the margin of the new facilities were not that good, 1.2 and we ended up with an average of 1.6, finishing September with 1.9. We’ll reach the peak by mid-October at 2.44, only one day on average October was 2.2. So basically, I will say that we’re starting to see the returns we we’re expecting from the units. Think that there has been several factors there, despite the general situation is not issued to our new facilities especially when they are as important, and they modify the structure of the refinery, so basically I would say, and second we have the issue with the Iranian crew, I mean we have to change our diet and this has also affected the performance of the sites. It looks as if the fine-tuning is already there and basically those are the figures, so you can account at least in October 2.2, it’s a gain obtained from the new units. And your second question was in relation with the Alliance, I think that with Alliance there are many projects in front of us and we are analyzing them all. And right now there is nothing special to comment, other than they provide us the first asset. The second one is coming this quarter and Tatnefteotdacha and we’ll keep working, but I’m not aware of anything related to the tax you mentioned, other than we are working with them in a daily basis.
Maria Victoria: Let me highlight, Oswald, that the premium that Miguel mentioned applies over the total capacity of our Spanish Refining System and also on the new capacity. Okay, it’s over the whole refining capacity. Thanks you. We now move into next question from Royal Bank of Canada, Peter Hutton. Peter, good morning.
Peter Hutton – Royal Bank of Canada: Hi, thanks for the call. And two quick questions just follow-up on the option you’re talking about on the conversion of the prefs. Can you just explain to me, and maybe I’m being a bit thick here, on the issuances of bond and how that gets the prefs treated in a different way in terms of the treatment by the credit agencies, which was one of the areas that you were looking at? So just understanding the mechanics of that a little bit. The second one is, again back to the downstream and retail volumes held up better than expected, but not much in Spain. They were a record in Europe. There seems to be a large jump outside Spain, and trying to understand that and how sustainable that is looking forward?
Miguel Martinez: Thanks. In relation with the first question, the word is liquidity. I mean any bond of Repsol will be liquid day two, while the prefs really doesn’t have a market. And the social problem we have in Spain with this preference shares, is that most of them are linked to the savings banks. So we have to somehow make, or take a decision to provide liquidity to these preference shares and we think that the bond is one way to do it. In relation with volumes, in Spain the figures of the quarter were pretty bad. I mean volumes for 12% in the quarter in comparison with last quarter 2011 or the same quarter 2011 and on average throughout the year we are falling 9% on cumulative basis. So I do not know how volumes evolve in other European countries other than Spain, Portugal and Italy, but it has been a strong impact. I think also that the VAT was modified with an increase of 3% by September 1. We said that the impact there between 2% and 3%, so basically outside that on average for all year 1% or 2% jump between months, but I mean 12% fall within the Portugal, okay.
Peter Hutton – Royal Bank of Canada: Okay. Thanks Miguel.
Operator: Thank you, Peter. We will have the next question from (inaudible)
Unidentified Analyst:
 : And second question is regarding the guidance; you gave in Q1 for the upstream business of an EBIT in the region of €2.2 billion to €2.4 billion. And I was wondering if this is the still maintained or what should we expect from this business? Thank you so much.
Unidentified Company Representative: Well, in the first one, its simple I mean with the valuation of the shares, we can give one share of just restart to each tenant of the press plus bond and this will be the conversion. Second, in relation with the CapEx…
Unidentified Company Representative: EBIT.
Unidentified Company Representative: Sorry, EBIT for the upstream division, we keep up that’s to what we say. I mean we will end up around €2.3 billion for the year-end, but I mean always my guess is it is difficult, but these are our best estimate today.
Unidentified Analyst: Okay, thanks. Just one follow-up on the first question, if I may; could it be possible to concluding in this comparison kind of an exchangeable bond for these treasury services including kind of initial premium or something like that?
Unidentified Company Representative: Fernando and we have analyzed many other options, but as mentioned before my first idea is if possible 100% conversion nominal comparison into a bond, which outing is the clear solution think that those tenants are basically fixed income investors. So if the LNG goes in the way we expect that I think that the conversion will be through a 10-year bond or something like that.
Unidentified Analyst: Okay, great. Thank you so much.
Operator: Thank you, Fernando. We have the next question from UBS, Daniel Ekstein.
Daniel Ekstein – UBS: First question is around the downstream. It’s good to see some improved financial performance coming through this quarter. How is it going back for the guidance you gave at the end of July, there was reference in an earlier question I think it was €1 billion to €1.1 billion. We’re now talking about a lower number than that. This perhaps implies that your Q3 results didn’t quite match your own expectations. Is that fair? And if so, could you explain a little bit more about the moving parts within the business and where the under-performance came versus that what you were expecting in July? Falling off from that refining was stronger, but you talked about the operating performance perhaps not being at optimal levels at the moment. Could you also talk about whether the impact with the local market environment is having, I’m talking about low demand and number of upgraded refineries in the Iberian region. What impact is that having on your pricing power? Then, on a completely different note, assuming the L&G deal was complete. How would you view the scrip dividend option in 2013, if it works continue, would there be anti-dilutive measures taken? And then finally, you gave us some production guidance for this year and next, which was very helpful. Could you talk about an exit rate for 2013 rather than just the average growth for the year? Thank you.
Unidentified Company Representative: I think that the difference between the 1.1 and the 950, we’re applying today has two reasons. First one refers to a chemical business, which is behaving both in volumes and margins lower than expected. The second one refers to volumes in retail division. I mean for sure we were not expecting a 12% fall in the volumes of the net. And those are the main reasons for the fall initial estimate of the Downstream EBIT. In relation with the scrip, the idea is, yes, to keep it. And this is my idea. I mean, I don't understand why some people consider this a dilutive process. What we are giving the investor is an option for free in which if they want the cash they have it. For sure, it will imply some dilution. But for those who take the cash, for those who take the shares the transaction will be accretive and 64% of our shareholders took the shares. So I think it’s a good option for the shareholder and it’s for free, so we will keep attached to it. And in relation with the profile production next year, I mean 10% is what we are going to grow. But I’m not going to detail monthly, which would be the production. Sorry about that.
Daniel Ekstein – UBS: Okay thank you.
Operator: Thank you, Daniel. We have next question from Credit Suisse, Thomas Adolff. Thomas, good morning. Please go ahead with your questions.
Thomas Adolff – Credit Suisse: Hi, good morning guys. Thanks for taking my questions, three as well. First one of upstream obviously nice growth, 10% year-on-year, both specifically one interested in this how do you see the group upstream margin involved year-on-year in 2013 on flat oil prices, on this evening the overall upstream cash margin should improve from these new projects. Secondly, on Venezuela, kind of when thinking of your current production and the future production now in the case of Carabobo and Tela. Is it fair to assume that most of the sales in Venezuela is linked to the U.S. dollar and not to the peso and therefore any price evolution is linked to the U.S. inflation in Textron and anything that is happening in Venezuela. And the final question, I guess on your ideal scenario on the pressure conversion of taking a 10-year bond, I was wondering whether you’ve kind of worked out what sort of savings you can achieve from this – these are the interest rates, I guess the bond would be lower than the preference share coupon unless I’m mistaken? Thank you.
Miguel Martinez: Well, just starting with the last one, I forgot the first one. I’d say that you can consider saving of approximately 20%, I mean is more or less what a fair deal would represent. Think that over here we are somehow playing with the interest of our shareholders versus the interest of the tenants of Repsol. So with our estimate today but for sure depending on the evolution of our CDS is approximately 80%, so the saving, if you consider that would be €600 million, 20% applied to a €3 billion we have as preference shares. In relation with the Venezuela, we mostly take the – I mean good paying dollars; sorry for them for example would be 369. And I think that you (inaudible) one area in which we have [$5 million] dollars and those expenses that are related to the local currency are paid in local currency. But basically, I would say that the U.S. dollars. And first question.
Maria Victoria Zingoni: What's the EBIT per barrel, or the margin per barrel, that we are making in the Upstream business? 
Miguel Martinez: Okay. We don’t disclose that, but one thing is clear, the mix is going in the right direction if you compare this year with last one, the mix between liquids and gas is becomes higher and we expect to keep the trend.
Thomas Adolff – Credit Suisse: Okay perfect, just one question I had, that is a follow-up, just now longer-term beyond your medium-term target of 2016, now (BG) stated on last week that you are going to turn the (inaudible) FPSO in Carioca and that the tender process probably going to start sometimes next year, so I’m assuming this is sort of something for the period just before 2020 the second Carioca FPSO. Thank you.
Maria Victoria Zingoni: You ask, Thomas just to be clear, you ask about the second FPSO in Carioca if it’s going to be the before 2020?
Thomas Adolff – Credit Suisse: Yeah, just before 2020, yeah, I mean it’s going to be post 2016.
Miguel Martinez: Carioca will be at the present time we are thinking just in one of these PSO and these will have to come on I assume by the end of 2016.
Thomas Adolff – Credit Suisse: Yeah.
Miguel Martinez: And the second one is contingent so we will see. Right now it will be only one FPSO in Carioca.
Thomas Adolff – Credit Suisse: Okay. Perfect. Thank you very much.
Operator: Thank you Thomas. We have next question from Tudor, Anish Kapadia. Anish good morning please go head with your question.
Anish Kapadia – Tudor, Pickering, Holt & Co., LLC: Hi, good afternoon just – yeah couple of questions just a multi-faceted question on the Mississippi lime, I just wanted to get into bit more detail. We have seen a number of companies complaining the infrastructure in so much as oil takeaway capacity being a big issue. Just wondering how you are coping with that at the moment. Also whether the mix of oil to NGLs, the gas is as expected, and also what WTI price would cause you to cut activity back in the area. The reason I ask is we’ve seen companies such as Chesapeake more than half of their rig counts over the last quarter in the Mississippi Lime, so just wanted to get an idea of how you are seeing things over there. And then the second question was on Trinidad. We’ve seen production weak this year. I was wondering if you could give production estimate for next and then how you see Trinidad production evolving over the next five years also. Thank you.
Unidentified Company Representative: Okay, infrastructures in the Mississippi Lime at least in our area in the one we have been drilling right now it was already there. So we are simply paying the fee of someone else’s infrastructure, and we are pretty close to those infrastructures. So even if it would be a real small CapEx there. Second, yes, the – it’s way too early I mean we’re producing just 1,500 barrels per day. But right now the mix is the one we expected, approximately 50% gas, 50% oil. And in relation with the Trinidad production, I mean our estimate as I mentioned is flat. So it would be our estimate has been to produce the same this year, though probably it’s a very conservative approach, but and un-operative asset and knowing that BPTT has been extremely conscious in all the maintenance and modifying the structure of the platforms. We want to be conservative, sell this pipe, considering a flat production in Trinidad and Tobago. We aim for a 10% increase in the global production of the company for 2013.
Maria Victoria Zingoni: Anish, could you repeat the last question and the third question with regards to the price and the WTI about [SunVic], we didn’t hear it quite well. Can you repeat it? Anish?
Miguel Martinez: Anish?
Maria Victoria Zingoni: Anish?
Anish Kapadia – Tudor, Pickering, Holt & Co., LLC: Yeah. In terms of the Mississippi Lime joint venture, I just wanted to know what WTI price do you look to either stop adding rigs or actually cut back on the number of rigs that you are allocating to the Mississippi Lime, you got WTI at around $85 at the moment, wondering at what level it has to fall to for you to consider casting investment.
Miguel Martinez: I don’t have the figure in my mind, but one thing I can tell you, these prices that probably goes ahead. So we will keep drilling these 3 million per well and we’ll keep performing, but through Mar-Vi, we’ll provide you the exact figure at which we will start production, okay Anish.
Anish Kapadia – Tudor, Pickering, Holt & Co., LLC: Okay, just, sorry – on Trinidad in terms of your longer term production forecast, just wanted to know, are you expecting production to stay at that flat level as of the next kind of five years or so, would you expect production decline in Trinidad?
Miguel Martinez: I mean there, let me provide you some of that first report in perspective what Trinidad and Tobago represent for us because it’s true that the production level sounds big. It represents roughly almost a 40% of the total production of the Upstream. But if removed down to the EBIT level, it only represents a 15% of the EBIT level. So those are a type of barrels with not volume. So having this in context I would say that we expect a increase in the existing production once all the maintenance has finished. But, as mentioned, for the good or for the bad, those barrels are not the most profitable regarding our portfolio, okay.
Anish Kapadia – Tudor, Pickering, Holt & Co., LLC: Great. Thank you.
Maria Victoria Zingoni: Thank you, Amish. We have the next question Fernando Murillo from La Caixa. Fernando, good morning.
Fernando Murillo – La Caixa: Hello, good morning. My questions have been met already. Thank you very much.
Miguel Martinez: Thanks, Fernando.
Maria Victoria Zingoni: Thank you. We have now from Merrill Lynch, Hootan Yazhari. Hootan, good morning.
Hootan Yazhari – Merrill Lynch: Good morning. I have two I wanted to focus on. First of all, on the chemical side, which has obviously been difficult for you, what steps are you taking to address the poor profitability in this business and are you looking at in the medium-term potentially closing this down given from a cost perspective, you won’t be competitive with all the new capacity coming on in the U.S., which obviously enjoys low natural gas prices? Just wanted to get your thinking around there. And then the second point was a point of clarification. I thought I heard you mention that you are looking to drill to 30 to 35 wells in 2013. If that was the case, that represents a slightly lower number than you mentioned earlier which was 36 to 40 wells that was in a recent presentation you put in the market. I just wanted to see which wells for which areas are being affected, if that is the case. Thank you.
Unidentified Company Representative: Okay, I mean, thanks for the questions (inaudible) and good morning. The question (inaudible) do you remember two years ago I think it was or last year we did a lot of reduction within the business and right now we are analyzing which the future of this segment of the company looks like. But basically, I could agree with you that naphtha versus gas prices today especially those in the U.S. and in the Middle East it’s a tough area. So we now how this feel any drastic decisions taken, but we are analyzing the whole business, being concerned that in one hand the demand is quite weak in Europe and in the other that to compete with people that can produce the same as you with the [primeval] that is six times lower is a tough task. And regarding exploration, I suspect that you got the data from Marcos (inaudible) about a couple of months ago or a month ago.
Hootan Yazhari – Merrill Lynch: Yeah.
Unidentified Company Representative: And I mean right now is contingent, I mean we are talking 30, 35. Imagine that Libya for example this year we were expecting some wells, but at the end we were not able to do it. What I can tell you is that the important ones, those are I mean really, I would say expensive, those are exactly the same as the one Marcos was considering a couple of months ago. So the variance would be in small wells, most of them Libya, I would assume, but I don’t know exactly the split with whom Marcos mentioned that. But to clarify the whole thing [Mar-Vi] is signing me that there will be an Exploration Day and we will update with our estimates for next year, okay, Hutton.
Hootan Yazhari – Merrill Lynch: Understood. Thank you very much.
Unidentified Company Representative: Thanks.
Unidentified Company Representative: Thank you.
Operator: We have our next question from Luis de Toledo from BBVA. Luis, good morning.
Luis de Toledo – BBVA Bolsa Sociedad de Valores SA: Good morning, good afternoon. I have a one question regarding the dividend. There’s been now speculation in Spain regarding the potential, €1 per dividend for next year. I guess you stick to your guidance, and maybe it’s too early to discuss this. But I assume you are taking consolation there, the reported net profit for the year, taking consolation regarding the range you provided 40%, 55%, I don’t you know if you could add some on that? I’m sorry to go back to the LNG, I am not referring to the future, just on the strong performance in the quarter, I mean we are aware stronger volumes in places. Is there anything we should take into account, any measure you have taken in the quarter? Thanks.
Unidentified Company Representative: Thanks. [Louis] in relation with the dividend that this is a proposal that the Board will put on the table, and normally the Board take that decision by the end of November, the last quarter of November. So I would say its 20 days to know better, okay
Luis de Toledo – BBVA Bolsa Sociedad de Valores SA: I can wait.
Unidentified Company Representative: Touched after this comment to our prior comments those that were made, but basically it’s only you’ll have to wait 20 days for the answer of that. There is further for the answer of that and in relation with the LNG, I would say that there has been very good results in the quarter and those are basically in three factors; first, volumes were higher, second, there was less cargo send to the U.S. where the margins are not that good. So we’ve got good better margins and on top of that there were some spot cargos that really make very good profit. So recap better margins and more volumes.
Luis de Toledo – BBVA Bolsa Sociedad de Valores SA: Okay, thank you.
Unidentified Company Representative: This is the answer.
Operator: Thank you. Coming back now again to Santander, Jason. Jason can you hear me this time.
Jason Kenney – Banco Santander: I hope so, hope you can hear me.
Unidentified Company Representative: We can.
Jason Kenney – Banco Santander: Okay, sorry about earlier. So good results today and well done on those, I did have a number of questions but I’m blessed with two I just wondered have you been approached by significant sovereign well funds or potential industrial players to take a stake in Repsol directly, certainly that’s been mooted in the press? And then secondly a bit more operationally focused on your current drilling can you tell me if Mapi in Peru is of a similar pre-drill prospect size to (Inaudible) and also if you have any update on the return to the Jaguar well in Guyana?
Unidentified Company Representative: Pardon me, okay. Hi, Jason, in relation with the sovereign funds at least they didn’t approach me, okay. On top of that I would say that today it’s quite difficult for any of the shareholders to reach any agreement due to their acquisition price. So I think that it must be difficult to be a press man and to fill everyday a newspaper. So I don’t see any approach or any possibility on that. And the other option would have been our treasury stock, but as mentioned before, we are going to use that treasury stock and I would say it was my first priority or possibility would be to apply this stock into the scrip dividend. And in relation with Mapi, I would say there is a little more risk here than [Sagari], basically because the height of Mapi is lower than the one in Sagari, but we will see, I mean we are getting close to it and probably there will be some news, let’s say before the year-end, okay.
Jason Kenney – Banco Santander: And on Jaguar?
Unidentified Company Representative: On Jaguar, sorry I forgot that one. I mean geologists were really optimistic about the first prospect, so we apply for a new license to the Guyana Government, and things are moving in the right direction. So we expect to go ahead in a couple of years.
Jason Kenney – Banco Santander: Okay, we’ll have to wait for that one. Thanks.
Unidentified Company Representative: Thank you.
Operator: Thank you, Jason. We have one last question from JP Morgan, Nitin Sharma. Nitin, good morning. Please go ahead with your question.
Nitin Sharma – JPMorgan: Hi, thanks. Two questions if I may, first one back on dividend. Miguel, I’m also willing to wait 20 days, but maybe if you could please explain what will be the key factors that you'll consider in deciding a particular payout within that 40% to 55% payout range, my obvious focus is (inaudible). And second one on tax rate, you guided on a tax rate, you guided on a tax rate of 44% for this year. Is that for the CCS-adjusted earnings? And what tax rate should we factor in for 2013 for CCS adjusted earnings release. Thanks.
Miguel Martínez: In relation with the dividend, as mentioned let’s wait for the board meeting, I mean I am not going to decision that is going to be made by the Board within three weeks. And in relation with the second one, I know that there has been some people have got confuse with our indication of all the tax rates. Our indication refers to the Spanish accounting system, which is meaningful. So there is a difference between the results you analysis which are the recurrent CCS – I mean for results, which include the inventory gains plus all the non-recurrent and during this month I mean this quarter we are five €120 million of inventory gains plus the sale of and sale of the Chile and LPG. So you take these into account that the guidance I gave it’s based on the Q4 results with non-recurring items included, which is one I paid at the end to the Spanish IRS. Sorry about that, but I cannot provide both okay.
Nitin Sharma – JPMorgan: Okay, thanks
Operator: Thank you, Nitin we have another question from (inaudible) Fernando.
Unidentified Analyst: Hi. Thank you so much for taking again my questions. I guess Miguel, a confirmation of the CapEx plan for the future. This year it was or you said, if I’m not wrong, that it was going to be and in fact lower in the case of the Downstream. Are the targets for the future both for Upstream and Downstream stable?
Miguel Martinez: It will be around €3.5 billion. So similar to the initial estimate for 2012 and from those the most of it, as you know, would be in the Upstream division and within the Upstream division, I think it’s for the third or for the second time development will take the most while keeping at the same time the level of investment in the exploration, okay? All of these figures are ex Gas Nat.
Unidentified Analyst: Okay. So it’s €3.5 billion per annum in the future, right?
Miguel Martinez: Yeah, €3.5 billion ex Gas Nat, the same as we gave you last year for 2012.
Unidentified Analyst: Thank you so much, Miguel.
Miguel Martinez: You’re welcome.
Maria Victoria Zingoni: Okay. Since we are done right now with the questions, if there is anything pending question, you can get discussed further, don’t hesitate and give us a call and we’ll be glad to take them. Thank you very much for attending the conference call. Good afternoon to all you.